Operator: Good day, ladies and gentlemen, and welcome to the first quarter 2017 CF Industries Holdings earnings conference call. My name is William. I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question and answer session towards the end of the presentation. I would now like to turn the presentation over to the host for today, Mr. Martin Jarosick, with CF Investor Relations. Sir, please proceed.
Martin A. Jarosick - CF Industries Holdings, Inc.: Good morning, and thanks for joining us on this call today for CF Industries Holdings, Inc. I'm Martin Jarosick, Vice President of Investor Relations for CF. With me today are Tony Will, our President and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales, Market Development and Supply Chain; and Chris Bohn, our Senior Vice President of Manufacturing and Distribution. CF Industries Holdings, Inc. reported its first quarter 2017 results yesterday afternoon, as did Terra Nitrogen Company, L.P. On this call, we'll review the CF Industries' results in detail and discuss our outlook, referring to several of the slides that are posted on our website. At the end of the call, we'll host a question and answer session related to the company's financial results for the quarter. As you review the news release posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. Actual results may differ materially from those projected as a result of certain risks and uncertainties, including those detailed on slide 2 of the accompanying presentation and from time to time in the company's Securities and Exchange Commission filings. These forward-looking statements are made as of today and the company assumes no obligation to update any forward-looking statements. This conference call will include discussion of certain non-GAAP financial measures. In each case, a presentation of the most directly comparable financial measure calculated and presented in accordance with GAAP and coinciding reconciliation of the non-GAAP financial measure to the most directly comparable financial measure calculated and presented in accordance with GAAP is provided in the earnings release and the slides of the webcast presentation on the company's website at www.cfindustries.com. Now let me introduce Tony Will, our President and CEO.
W. Anthony Will - CF Industries Holdings, Inc.: Thanks, Martin, and good morning, everyone. Last night, we posted our financial results for the first quarter 2017, in which we generated adjusted EBITDA of $272 million after taking into account the items detailed in our earnings release. The first quarter demonstrated the agility of the CF team and of our business model, as we had to contend with navigating the effects of changing buyer behavior and an uneven price environment. Through it all, the team performed exceptionally well, finding the best margin opportunities out there. We produced and sold more tons than ever before. However, the record volumes were about more than just additional production capacity. They reflected how our people responded to a rapidly changing marketplace in order to capture the best opportunities available, whether those opportunities were in the strong early demand for ammonia and UAN that developed in Southern Plains or pivoting to expand our exports when the spring stalled and buyers held back. Our manufacturing system is running extremely well, with our new plants performing better than we could have imagined. Donaldsonville Ammonia number 6, our new plant, is running above 4,000 tons per day, roughly 10% above nameplate, while the Port Neal ammonia plant is producing over 2,850 tons per day or 18% above nameplate, with more upside to go on both ammonia plants. Both new urea plants are about 4,350 tons per day, 13% over nameplate, and the new acid/UAN plant at Donaldsonville is over 6,000 tons per day of UAN, more than 20% above nameplate. All the tons that we produce above nameplate capacity, which at these rates equates to roughly 250,000 tons per year of ammonia, for example, are basically at variable cash costs only. Given the North American gas cost is among the lowest in the world, those incremental tons are highly profitable for us. With our low cost structure and flexible network, we run our plants at maximum rates. Even when North American buyers pulled back, as the weather got cold and wet in late February and through March, our team took advantage of the options we have to export, options most of our domestic competitors don't have. And although netback pricing for exports typically isn't as strong as Corn Belt delivered pricing, if the North American buyers aren't buying, we have very cash positive options abroad. In fact, despite record exports, if you compare our average realized pricing for the quarter with many of our competitors that have in-market production, I am really proud of what our team accomplished. They moved the tons, kept the plants running and realized good cash margins – so good, in fact, that the company returned to generating positive cash flow for the quarter. We added $148 million to our cash balance during the first quarter, which stood at $1.3 billion as of March 31. However, that performance was against a backdrop of overall low global prices. As we look at producers in high-cost regions, we are seeing rational behavior in response to these current industry conditions. For example, we have seen reductions in Ukrainian urea operating rates and recently announced curtailments of ammonia production there as well. Chinese producers have reduced operating rates and exports due to the low global price environment. Reported Chinese operating rates for the first quarter remained below 60%. While there were roughly 9 million metric tons of capacity shut down permanently in China last year, an additional 7 million metric tons has also been idle. A majority of those plants have been idle for many months and are not currently running despite local Chinese spring demand. We believe this increases the probability that a substantial portion of these plants will not restart. This low level of Chinese production is evident in reduced export activity, as shown on pages 13 and 14 of our accompanying slides. According to industry sources, Chinese urea exports were 1.2 million metric tons during the first quarter compared to 3 million metric tons during the first quarter of 2016. We continue to expect 5 million to 6 million metric tons of exports from China for the full year 2017, which is down significantly from recent years. At the same time, the number of new capacity expansion projects being initiated around the globe has slowed dramatically. We continue to project the rate of net new capacity growth after this year and for the foreseeable future to be well below the normal annual demand growth rate of 2%, as is illustrated on pages 15 through 18 of our materials. Therefore, we expect the global supply and demand balance to tighten over the next few years, leading to industry recovery. Now, let me turn the call over to Bert, who will talk about the market environment in more detail. Then Dennis will discuss our financial position before I offer some closing remarks. Bert?
Bert A. Frost - CF Industries Holdings, Inc.: Thanks, Tony. Our operational performance during the first quarter showed how well we have prepared for the environment the nitrogen industry faces today. Over the past year, customers have resisted taking position and are increasingly delaying purchases until the last minute. As a supplier, we have to be ready to meet demand when and where it develops. Our operational advantages enabled CF to do that exceptionally well during the first quarter, as early strong demand emerged in parts of North America. Warm and dry weather allowed the Southern and Southwest regions to be very active in applying ammonia during the first quarter. Our Oklahoma plants ran very well. Shipments for January and February were more than double the four year average. We also shipped a significant volume of UAN during the quarter because of early demand. The wet and cold weather that appeared in the Midwest in mid-March slowed applications and purchases by our customers, leaving significant nitrogen demand to be filled through the rest of the application season. Additionally, given the approximately 90 million acres of corn expected to be planted in the U.S. this year, we anticipate strong demand for upgraded products in order to make up for the lack of fall and early spring ammonia applications. Even with the unfavorable weather at the end of the quarter, our ammonia sales volume grew by 25% over the first quarter of 2016. Urea and UAN applications did not begin in earnest during the first quarter, but we sold record amounts into the channel as our customers prepared for spring. Sales volume for urea was 4% higher than last year, while we grew our UAN volume 27%. The average selling price for each product improved over fourth quarter 2016 results, but was lower than the first quarter of 2016. Ammonia prices rose steadily from the middle of the fourth quarter through the end of March due to healthy industrial demand and operational issues at several locations around the globe that kept supply tight. Urea prices, and to a lesser extent UAN, followed a very different path through the quarter. NOLA barge prices for urea were below $200 a ton in the middle of the fourth quarter rose to about $250 a ton at the end of January and then fell back below $200 in March. Global nitrogen prices are responding to the capacity increases of the past few years, anticipated increases this year and changing buyer behavior. We believe the rising prices we saw in the U.S. in January and early February attracted imports to the United States. This was exacerbated by a lack of other export destinations such as India, which do not have a tender for several months prior to April. When import vessels arrived in the U.S. Gulf during the back half of the first quarter and beginning of the second quarter, North American customers resisted taking spot positions ahead of spring application. Prices fell in response and are now at a point that should dissuade exports to the United States. In North America, additional capacity will be coming online over the next year. We believe the North American capacity additions at Wever, Enid and Borger will not ramp up quickly enough to have significant sales this spring season, but will likely impact the remainder of the year. It will take time for the global nitrogen market to adjust to all the changes that we have seen in the past few years and settling to new trade flow patterns. The flexibility CF has built into our manufacturing, distribution, and logistics system gives us confidence in our ability to optimize the business, no matter the external environment. With that, let me turn the call over to Dennis.
Dennis P. Kelleher - CF Industries Holdings, Inc.: Thanks, Bert. In the first quarter of 2017, the company reported a net loss per diluted share of $0.10 and EBITDA of $218 million. After taking into account the items detailed in our press release, our adjusted EBITDA for the first quarter was $272 million and our adjusted earnings per diluted share was $0.05. For the first quarter, our largest adjustment was a $53 million unrealized mark-to-market loss on natural gas derivatives. Interest expense was $80 million, which we expect to be our quarterly run rate until we pay down the notes due in May 2018, after which it should drop to approximately $66 million per quarter. Depreciation and amortization expense was $205 million for the first quarter of 2017, up from $146 million in the first quarter of 2016. We expect full year 2017 D&A to be approximately $875 million. The higher D&A has also impacted gross margin per ton for all of the applicable segments. To help you compare the gross margins in the first quarter to prior periods, we have added information to the segment tables in the press release and a chart on slide 10 in the presentation. In this tables and charts, we adjust depreciation and amortization and unrealized mark-to-market gains or losses on natural gas derivatives from gross margin as reported to show an adjusted gross margin. We believe this will give you a better sense of the underlying cash generation capability of each segment. Turning to cash flow, we generated $148 million of cash during the quarter and our cash and cash equivalents on the balance sheet rose to $1.3 billion as of March 31. Capital expenditures for the first quarter of 2017 were $94 million. For the year, we expect to spend approximately $400 million to $450 million for sustaining and other new activities. Additionally, as of March 31, 2017, approximately $183 million remains accrued but unpaid related to capacity expansion activities in 2016. Most of this unpaid amount is the subject of disputes with certain contractors and vendors and it is too soon to estimate the timing or final resolution of these matters. We will continue our prudent approach to managing the balance sheet in order to be in a position to retire $800 million of debt coming due in 2018. The 2018 debt retirement will be funded by the federal and state tax refunds of approximately $800 million we fully expect to receive in the third quarter of 2017. With that, Tony will provide some closing remarks before we open the call to Q&A.
W. Anthony Will - CF Industries Holdings, Inc.: Thanks, Dennis. Before we move to your questions, I want to thank everyone at CF for their hard work this quarter. I've highlighted how well our team executed the business, but most importantly, we did it safely. Our rolling 12-month recordable injury rate at the end of the quarter was 1.13, which is well below industry benchmarks. I particularly want to recognize our team at Verdigris, Oklahoma, who recently achieved 1 million safe hours without a recordable injury. CF structural advantages, our access to low cost North American gas, operating in import-dependent North America and the long-term demand growth for nitrogen are enduring. Our operational advantages, scale, production flexibility, extensive in-region distribution network and export optionality set us apart from other producers. Taken together, they position CF to benefit disproportionately from the cyclical recovery we believe will begin to take shape in 2018. With that, operator, we will now open the call for questions.
Operator: Thank you. As a courtesy to others on the call, we ask that you limit yourself to two questions. Should you have additional questions, we ask that you re-enter the queue. We will answer additional questions as time allows. For our first question, we have Adam Samuelson from Goldman Sachs. You may now ask your question.
Adam Samuelson - Goldman Sachs & Co.: Thanks. Good morning, everybody.
W. Anthony Will - CF Industries Holdings, Inc.: Good morning.
Adam Samuelson - Goldman Sachs & Co.: So, maybe to begin, Tony, Bert, maybe I'll talk about the market environment a little bit, as you think about the spring and how the market has evolved quite rapidly and changed in maybe March and April with where we are today, and as you think about market premiums to be realized in the second quarter. Can you talk about maybe the lack of the need of in-season application for urea, UAN? And how that might influence realized market premiums for your product in the second quarter versus the first, which obviously had a lot of export tons that start to move offshore as the market slows late in the quarter?
Bert A. Frost - CF Industries Holdings, Inc.: Good morning, Adam. This is Bert. And you're right, this has been a strange evolving market, and every spring is, whether it came early in 2012 when we had record applications of ammonia to the wet and cold February and March that we saw this year, which then delayed applications. And so, we're still working to get product through the system. I think ammonia is going to be challenged for the next probably next couple of week and we'll move a lot to side-dress. And so, you're going to see probably additional tons needed of UAN and urea to backfill for top-dress applications of those products. And so, the premiums in the market, we believe we're still holding. You're seeing premiums over NOLA, which is a freight calculation as you move up and through, and you're seeing the N premiums hold for UAN, urea has fallen quite a bit from the highs of early March. And I think you're going to see that value probably improve a little bit. As we move and applications begin, you're going to see probably some needs to move product around. And so – I didn't get your question on the lack of applications. What was that referring to?
Adam Samuelson - Goldman Sachs & Co.: Well, it's just how the move to position product offshore later in the first quarter might have impacted your realizations versus benchmarks maybe relative to your expectations on the fourth quarter earnings call in mid-February?
Bert A. Frost - CF Industries Holdings, Inc.: Yeah. There's no question that the volume of imports that came in, coupled with the increased capacity that's come online in North America, our own, overwhelmed the market. And that product came in just when the cold weather hit, delaying applications, backing up product in the system, and I think a lot of our customers had position limits and were unable or unwilling to purchase pushing pricing lower to a point where we're at, I would say, below many of the higher cost producers in the world that exported product to the United States. And so, we're in a strange environment where UAN and urea are almost trading at price parity and that has not occurred. And so imports we see already are decreasing and have to in order to balance the market and bring back probably rational or normal price structures.
Adam Samuelson - Goldman Sachs & Co.: And maybe just a follow-up on China, and this goes to maybe the demand growth that you've seen. I mean, you look at the Chinese production and export rates year-to-date, applied some pretty significant declines and year-on-year off-take domestically in China, coupled with, I mean, what's been the very slow Indian import level. Is there any worry on maybe that long-term nitrogen demand outlook of 2% or do you think this is a one year pause with inventory issues in the channel that maybe provide opportunities into 2018?
Bert A. Frost - CF Industries Holdings, Inc.: I think looking at China, the numbers just did not add up and we've been working on that. We even added a couple of teams over there to try to bring on the ground information back and help us understand better. But, clearly, operating rates with demand don't – the numbers still don't work. So, inventory levels had to have been higher in China going into spring and those have been worked down. We believe the same thing happened in India, where they were able to stay out of the market for seven months using internal production as well as probably higher inventory levels. And it looks like in many places around the globe that those inventories have been worked off and I think you're going to see a return to probably healthier or more ratable shipping patterns over the next couple months. But where we are today with the pricing level of urea was not expected, and that's going to have to force some decisions by higher cost producers to cease production, and you're seeing that in China today.
Adam Samuelson - Goldman Sachs & Co.: All right. That's very helpful. I'll pass it on.
Operator: Thank you. Our next question comes from the line of Joel Jackson from BMO Capital Markets. Your line is now open.
Joel Jackson - BMO Capital Markets (Canada): Hi, good morning. Thank you. Good morning. I wanted to talk about ammonium nitrate a bit. I mean, these contracts, I believe Orica and Nelson Brothers, were signed a few years ago. They (22:08) January 1. Can you talk about how your ammonia nitrate earnings are going to shift versus what we've seen the last few years? How will the volume play out across the year? How the contract's structured, where you can tell us – just to get an idea what they're benchmarked to, what they're indexed to, so we can figure out pricing? And then maybe give a little bit color about how ammonium nitrate prices are tracking in the U.S., but also in the U.K. where you have a lot of capacity? Thanks.
Bert A. Frost - CF Industries Holdings, Inc.: So you've hit on a good segment for us. The contract did commence January 1. It's a 10-year contract. We've got a great relationship with the Orica Group and Nelson Brothers. They work together, moving our ammonium nitrate, ammonium nitrate solutions out of Yazoo City. We've revamped that plant to be a world-scale, very competitive plant with a lot of optionality around it with nitric acid, ammonia, UAN, and DEF that we also ship out of there. But I think what you're seeing is the positive impact of that contract, which is a gas-based contract with a healthy margin for CF. It's an extension of the previous 10-year contract, which we believe gives viability to Yazoo City for the long term. And so what we did is then restructured the physical plant, moving from high agricultural ammonium nitrate to high industrial, and a much lower level of agricultural product, which allows that plant to run full speed 12 months of the year. You also highlighted what's going on in the U.K., and we've got now almost a couple years of the U.K. operations tucked into our system. The person running that operation, David Hopkins, has done a great job of improving our average price realization. And so you're seeing that reflected both the U.K. operation and the Orica/Nelson Brothers contract in the performance of the ammonium nitrate segment.
W. Anthony Will - CF Industries Holdings, Inc.: And the other thing that I would just highlight here, Joel, is one of the things that Dennis called out is we're including adjusted gross margin calculations on the segment reporting data and as well as the nutrient ton volumes that we're selling. And if you look at kind of the adjusted gross margin per nutrient ton, ammonium nitrate is actually the best product performing out of the major four products. Now, our other segment is above that yet still because it contains DEF and other really high-value premium products, but we are really happy with our AN segment. It's performing very well. As Bert said, we're really pleased with working with Orica and Nelson Brothers and the new contract we have in place and with – it's a business that we like.
Dennis P. Kelleher - CF Industries Holdings, Inc.: Yeah, Joel, this is Dennis. The other point that I would make is if you look at the gross margin in the ammonium nitrate segment – and the comment that I'm about to make applies to all four of the major products, UAN, ammonia and urea and ammonium nitrate. If you look at cost of goods sold and you take out of the analysis realized gas costs and also depreciation, amortization and mark-to-market, what we see across the board is that we are getting greater efficiencies, as cost efficiencies on a per-ton basis for all of the four major products and we're seeing that kind of roll through to the results. It's not so obvious. We're trying to – obviously, as Tony alluded to, we're showing adjusted gross margin. We're trying to shed a little bit more light on it, but it's actually very good story from a manufacturing efficiency perspective.
Operator: Thank you. And our next question comes from the line of Steve Byrne from Bank of America. Your line is now open.
Steve Byrne - Bank of America Merrill Lynch: Yes. Thank you. That 5 million to 6 million ton export estimate out of China for urea this year, is that assuming that some of that roughly 8 million tons of capacity that you have a roster of temporarily shuttered capacity, is there an assumption there that some of that restarts this year and that 60% operating rate that they're running at actually moves up from here? And then just on that point, what would you say the delivered NOLA urea price would be that would be a breakeven for those anthracite producers?
W. Anthony Will - CF Industries Holdings, Inc.: So on the assumptions, Steve, that's embedded in there, look, we came out with a 5 million to 6 million tons last quarter's call as our estimate. The first quarter actual exports out of China was 1.2 million. Annualize that you're just below the low end of our range. So we expect there not to be a dramatic difference in terms of operating rates across China versus what's going on today. And that also, I guess, embedded in there is an assumption that says there's not a whole lot of dramatic upward price movement across the segments for the rest of the year because otherwise that would bid in some additional tons, which would then lead to more exports. So we're taking just pretty much of a almost status quo look at the world. Bert, do you want to talk about – ?
Bert A. Frost - CF Industries Holdings, Inc.: Yeah. Today, based on our understanding of a lot of the build-up to the cost structure of the anthracite producer being feedstock costs and the changes in taxes, subsidies, et cetera, today, we'd land in NOLA on a short-ton basis in the $220 to $230 per short-ton.
Steve Byrne - Bank of America Merrill Lynch: Okay. And then, Bert, another one for you. What would you estimate the percentage of nitrogen tons in the U.S. that – out of the total amount that will be applied in 2017 and maybe some of it from the fall application, what percentage has already been applied and what's not been applied yet, how much have you sold?
Bert A. Frost - CF Industries Holdings, Inc.: Well, Steve, that's a tough question, because you're looking at planting rates today, we're about 10% behind, and looking at corn, we're probably, let's say, 34%, 35% and normal, at this time, is 44%, 45%, so we still have some additional acres that's been very wet. And I think there's going to be some replanting in some of these areas that got inundated with water, with rain, the last week or so. Wheat acres are down and cotton acres are up. And we're just getting that the cotton market season going in West Texas in that area. So that's a hard number to get. So, we are positive on the net number – net volume of N and we've got that somewhere in our deck of staying fairly close to the previous years. It's just going to shift a little bit, again, like I said because of lower wheat acres and we believe higher canola acres up in Canada. And so, we're positive of what's going on. And we do think from, say, I-90 North, you've got a lot of ammonia still to go. We had a very poor Canadian season in the fall and there's still some crops on the ground that need to be harvested up there. And so, we're just now seeing movement out of our Velva Terminal in North Dakota. It's got quite an extended period we believe and then it's going to go north into Canada. Side-dress takes place in the Eastern Corn Belt, that still has to get moving here in the next, I'd say, couple of weeks that'll start, and then you'll get through the irrigation run. So, we've got a lot of applications still to go. We're still positive for Q2, but I can't give you a specific percentage on that.
Steve Byrne - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Don Carson from Susquehanna. Your line is now open.
Ben Richardson - Susquehanna Financial Group LLLP: Good morning. This is Ben Richardson sitting in for Don. On exports from Donaldsonville in 1Q, can you give us some information on that, both in absolute and relative terms?
Bert A. Frost - CF Industries Holdings, Inc.: Sure. So, we exported a significant amount of product in Q1 as compared to last year and compared to our historical run rate. On ammonia, we exported to Belgium, Chile, Mexico, Morocco and South Korea for approximately 200,000 tons versus last year 2016, similar period, about 25,000 tons. That's a reflection of our Mosaic contract not coming into service yet. The contract is in place, but Mosaic is not pulling the volume that is contracted, and we've worked out an agreement around that, so we've been forced to be more active in the export market. UAN we exported to Belgium, Brazil, Chile, Columbia, France, Ireland, Mexico and Peru, all in small volumes, whether that be from small containers all the way up into full vessels for a total of about 270,000 tons against last year 135,000 tons. We also exported some minor products into Mexico through some rail movement. So, total exports are close to 0.5 million tons for the quarter.
Ben Richardson - Susquehanna Financial Group LLLP: Okay. Just following up, would you expect that your export activity will increase in the back half as you ramp up?
Bert A. Frost - CF Industries Holdings, Inc.: That's a question of markets. We look at exports as we look at our whole book as a determination around profitability. And so each plant has its own configuration of logistics, whether that'd be pipe, truck, barge, rail, and Donaldsonville is the only one that can export by vessel. And so, when we look at each one of those, there's cost associated, rail has become fairly expensive for any of our products and has not been as viable as it used to be. And so, when we look at what we do on the export market or even what we move to the coasts for Jones Act vessels, that's all determined on, again, price, inventory, optionality, and what the market is doing. If the U.S. market operates as it did last year and delays – purchases is not moving forward in a positive volume-wise until, then, yes, we will export more or we will produce more urea rather than UAN and move that, whether that be export or domestic.
W. Anthony Will - CF Industries Holdings, Inc.: Yeah. Ben, one thing I want to highlight though is our plants are fully ramped up. I mean, there might be a little bit of topping that we can do on a few of them, but...
Ben Richardson - Susquehanna Financial Group LLLP: Sure.
W. Anthony Will - CF Industries Holdings, Inc.: ... the plants are running full-on. So we're not anticipating dramatic deltas in terms of increased volumes. We're going to have to manage through it at D'ville or across the rest of the system.
Ben Richardson - Susquehanna Financial Group LLLP: Okay. Thank you much.
Operator: Thank you. Our next question comes from the line of Chris Parkinson from Credit Suisse. Your line is now open.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Thank you. Over the last few years, we've seen a compression of both marginal feedstock costs as well as transportation rates in various forms from key exporting ports, like (33:50) and Yantai, et cetera, adversely affecting delivered price in the U.S. When we think about your outlook in 2018 and 2019 and the composition of the global cost curve on a CFR basis, what's the best way to think about delivered prices to inland U.S. markets? I mean naturally, trade flows are going to evolve, but any insight on how you're thinking about your spreads and consequent margin per ton potential, would be helpful? Thanks.
W. Anthony Will - CF Industries Holdings, Inc.: Yeah, Chris. I'll give a little bit of this and then, I'll ask Bert and Dennis to chime in as well. One of the factors that actually is hurting us, and Bert was just bemoaning a bit, actually helps us in other ways, which is the fact that it becomes increasingly more expensive to move product by rail from the coast into the inland system that you have to use Jones Act vessels to move it from the coast up into the Midwest, and then in a lot of cases, then transport it to rail to move it elsewhere away from the river. Means that costs from NOLA into the interior only continues to get more expensive, which means the in-market plants get to enjoy kind of that premium. And as the data indicates, North America is going to be import dependent for the foreseeable future. We don't see that turning around. So, relative to the premium, we expect to get above NOLA. We think that continues to grow basically with the cost of transportation, which is roughly inflation-ish, in terms of what we've seen with our own contracts. On a longer-term perspective, there is ongoing development of the LNG trade, whether it's Cheniere others here, other producers and origin points, that does have the effect that you're talking about, which is to flatten the hydrocarbon spread from one area to another, but a lot of those contracts continue to have at least $3 to $4 of delta in them off of Henry Hub. And so, the way we're kind of beginning to evolve our thinking is if you're in an oversupply situation on the supply side, so really supply constrained, then you're probably talking about landed hydrocarbon spread into other places of $3 to $4 and you got to move it back to the Gulf and up into the interior. And that gives you a sense of what the margin potential is for our interior plants. If you're talking about a situation where nitrogen demand continues to grow above what new projects are, so you're more in a demand-driven environment, then you're really going to start bumping up against farm economics. They're going to drive the price in order to bid more and more and more expensive tons back into the system. So it kind of depends upon what part of the cycle you're on, but in either one of those areas we feel pretty comfortable about our business model going forward.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Great. And just you included a few slides on this, but clearly the Chinese are rationalizing some higher cost supply, mainly lump anthracite and few smaller inefficient thermal facilities, but they're also adding a few, let's say, more efficient thermal facilities, which should be arguably lower costs. When we think about the longer-term cost curve out of Yantai, as their own cost curve evolves and lower operating rates persist, I guess, in the near term, how should we think about their net export levels, but also more importantly, that cost of the marginal ton exiting China, let's say, two or three years out? Thank you.
W. Anthony Will - CF Industries Holdings, Inc.: Yeah. Chris, on that one, part of the issue also is the location of where those new efficient plants are getting built. So there's a number of them that are not really set up as being export-capable plants, particularly the ones in Inner Mongolia and so forth, cost to get to Yantai, is so extreme that you would never export those tons. So while it does change the overall balance in China, it doesn't necessarily bring the cheapest tons into the play from an export perspective.
Bert A. Frost - CF Industries Holdings, Inc.: And I think you have to have a perspective on the feedstocks, the different feedstocks. So, yes, we tend to talk about anthracite, and you mentioned the new thermal plants, but they are gas-constrained, and the winter gas limitations will continue to constrain operations of those gas-fired urea plants. And so I think when you look at China and our numbers of 5 million to 6 million tons for this year, if I go out two to three years, we are in a process of rationalizing the globe. And that you saw it in the Ukraine, you're going to see in the few other countries. I think Brazil is having difficult times right now, not only for their gas cost but where those plants are operating and having to move the product that you're going to have to see some shutdowns – permanent shutdowns, and China still has more to go. And I think when you get – combined growth – historical growth pattern as well as that factor of taking product offline, then you're back into more of a demand-driven rather than a supply-driven market.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: That's very helpful. And thank you.
Operator: Thank you. And our next question comes from the line of John Roberts from UBS. Your line is now open.
John Roberts - UBS Securities LLC: Good morning.
W. Anthony Will - CF Industries Holdings, Inc.: Hey, John.
John Roberts - UBS Securities LLC: Your prior answer didn't mention coal prices in China and it seems like urea pricing is disconnected from coal now. So, was that just a short-term phenomenon that we experienced last fall and through the winter?
W. Anthony Will - CF Industries Holdings, Inc.: I mean, I think to the extent that you see a disconnect, it is a short-term issue. There's tons that get produced and are sitting in inventory and at port or in transit. So, to some extent, people are trying to monetize those and recover as much cash as they can because it's some cost they've already been produced. It's a very different story when it comes to replacing those tons from a supply standpoint. And what you've seen is a reduction all the way down to 1.2 million export out of China so far and no indication that it is getting more than that as we move forward, I think, is an indication that production rates and exports are really tied to coal cost and that there is some rational economic decision-making being taken place here.
Bert A. Frost - CF Industries Holdings, Inc.: But anthracite coal prices have not changed that much. Your mine average still remains around $135 per metric ton and so that is the cost, the high cost, that as you work that through, the calculation makes it impossible in today's market for that ton to make it out of China, and probably difficult to sell in China for a profit. So, Tony is right, some of that stuff that's at the port has been there for months and is probably degrading. So I think they're in a difficult situation in China.
W. Anthony Will - CF Industries Holdings, Inc.: The other challenge, honestly, is, given the number of vessels that came this direction, the imports that we saw in Q1 with NOLA trading at a discount to other destination ports, you wouldn't see those tons show up here anyway.
John Roberts - UBS Securities LLC: Okay. And then secondly, I guess there's some discussion about rolling back the ban on tax inversions? How do you think longer-term, strategically, about maybe the window opens and you have a chance to not be tax-domiciled here through some transaction versus the hope that longer-term U.S. rates stay low and it's just worth staying here because you have confidence they'll stay low long-term?
W. Anthony Will - CF Industries Holdings, Inc.: The White House also came out with a point of view of corporate taxes in 15% range. I mean, I think that's optimistic relative to what we're hearing being talked about at the House and Senate level. But a competitive corporate tax rate obviates the need for any kind of thinking about re-domiciling somewhere else. We love being a U.S. corporation. We want to stay here. We just hope the government gets it right and levels the playing field.
John Roberts - UBS Securities LLC: Thank you.
Operator: Thank you. And our next question comes from the line of Jeff Zekauskas from JPMorgan. Your line is now open.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi, good morning.
W. Anthony Will - CF Industries Holdings, Inc.: Hi, Jeff.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi. Your UAN per ton price was $171 and at least by my calculations, I thought the NOLA price averaged about $182 in the first quarter. So why would your UAN prices be about $10 a ton below NOLA, if that's a correct calculation?
Bert A. Frost - CF Industries Holdings, Inc.: I don't think that – I'd have to look at the average NOLA value, but you have to remember, the quarter's sales don't start January 1. We have a book coming into Q1 because we have a shipping program and logistical assets that need to move. So you're rolling into the quarter with a sales book and you're rolling out of the quarter with a sales book. So your average price is a blended price. And you remember, we started from lows of $130 in NOLA for the fill program and rose up to about $180. And then, you have logistical constraints. Like Tony mentioned, some of the rail rates just aren't that attractive and so that has an FOB limitation. And then you throw in some of our exports, which Tony mentioned are at a discount to NOLA, but we believe are the next best option for us.
W. Anthony Will - CF Industries Holdings, Inc.: And the other piece is, Jeff, as Bert has mentioned, when you got to take a Jones Act vessel to the East Coast or the West Coast, you're competing with Russian tons that are coming in. So although there's a referenced NOLA price, it's not that you can sell every ton that we produce at Donaldsonville at that price. The market isn't that deep, especially with our new UAN plant pumping out 6,000 tons a day. So we're doing over 13,000 tons a day...
Bert A. Frost - CF Industries Holdings, Inc.: Out of D'ville.
W. Anthony Will - CF Industries Holdings, Inc.: ... out of D'ville alone and Bert's got to find a place to take those tons. So the ones that we move to the coast are not going to be at NOLA pricing on a netback basis, but they're still very cash flow positive for us.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: That's helpful. And, secondly, you've indicated that the estimate for the partnership distribution for CHS was $35 million, though it's not yet declared. And your minority interest in the quarter, I think, was $6 million. In thinking about your adjusted EBITDA, shouldn't your adjusted EBITDA reflect the $35 million amount that's not yet been declared, or how should the payment to CHS be reflected in adjusted EBITDA?
Dennis P. Kelleher - CF Industries Holdings, Inc.: Well, the way we reflected in adjusted EBITDA basically is the way you would do it from an accounting perspective. What I would point out, though, Jeff, is if you think about the minority interest, $8 million for that (45:30) and $35 million, the $8 million reflects the share of U.S. GAAP income that is allocable from CFN to CHS. The distribution is based on a calculation pursuant to the terms of the partnership agreement, which is intended to give both CHS and ourselves producer-like economics on the tons that we off-take. In their case, it's urea and UAN. And so, the way I would think – I mean, you can come up with your own adjusted EBITDA calculation, I suppose. But we come up with it just according to the accounting numbers. But I think over time what you'll see is that those things tend to somewhat converge. If you want to have some more color on that, you can talk to Martin about it afterwards. He'll give you some data on that.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: All right. Great. Thank you so much.
Operator: Thank you. And our next question comes from the line of Andrew Wong from RBC Capital Markets. Your line is now open.
Andrew Wong - RBC Dominion Securities, Inc.: Hi, thanks. Good morning. I'd like to follow up, actually, on the demand question. So, I mean, it feels like the demand has been wavering a little bit this year, and we've seen corn acreage cuts globally in places like China and the U.S.; nitrogen in general is overapplied in places like India and China, and nitrogen overapplication is an environmental concern as well. And we've seen in the U.S. and other places that yields can improve without big increases in nitrogen applications. So, I mean, first would be just what are your general thoughts on those kind of things I've raised? And maybe second is more of a detailed bottom-up approach on where you expect to see nitrogen demand growth longer term? Thanks.
Bert A. Frost - CF Industries Holdings, Inc.: Yeah. We can get into the philosophical side of N being overapplied. What you're seeing taking place in India, which gets a lot of commentary, you're actually coating – it's mandated, you have to urea treat in India, so you're getting much better efficiencies, but you're still at 30 million tons. They reached a high of 32 million or 33 million tons of consumption. And so that's still to play out, I think, with where they are in this current season in terms of application, excess or not. And whether it's China, yes, I think there's some debate on that issue, but again corn application for urea in China is about, I think, 18% of their nitrogen or their urea demand. And so, it's a broader issue than just corn. Corn acres being cut globally, not necessarily so. You're seeing maybe a 3 million to 4 million cut in the United States this year versus last year, but significant growth in Brazil and Argentina. We're seeing tremendous demand for UAN in Argentina, direct reflection on corn and corn yields. But you've got yields in Brazil that could increase by 25%, with increased applications of N. They generally apply with a little bit of N and possibly a little bit of urea topping that on the second crop, but not much. And I think there's some precision ag improvements that could take place in Brazil that could improve yields. So I don't agree with your point on N being overapplied globally.
W. Anthony Will - CF Industries Holdings, Inc.: Yeah. I mean that's the story at the P and the K guys, but not what the farmers actually realize. The other thing, Andrew, that I'd point out is, we look at ag demand growth to be in the sort of 1% to 2% range and industrial growth to be more in the 2% to 3% range. And there's a lot of drivers around the industrial side, whether it's ongoing adoption and implementation of the mission statement activities, as well as a host of intermediate and feedstock chemical applications, anything from resins to melamine to other things, but also sort of tend to track population as opposed to other things, and there's a tie-in there with GDP. So, there is pretty good correlation going back in time, but we're not counting on sort of ag demand growth to be the driver of this long-term.
Andrew Wong - RBC Dominion Securities, Inc.: Okay. No, that's helpful. And then, just on the new builds, I mean, obviously, it doesn't make sense to build a new plant in the U.S. because it's pretty expensive and you probably would lose money in today's environment. But there are other regions that seem like they're willing to build plants, or at least looking at it. And maybe could you just share your views on the CapEx cost globally? And then, maybe are there regions that you feel they could build a plant even if maybe a project doesn't meet like, let's say, a 15% hurdle rate, as they would have to in the U.S., but maybe provide social benefits, for example, like in India that you've mentioned that they want to refurbish or rebuild plants? Thanks.
W. Anthony Will - CF Industries Holdings, Inc.: I mean, I think you always have a situation where if a government decides that they're going to make that investment for social reasons, then they're in a position to be able to do things from a – that are non-economic. I would say, while the labor component would be cheaper in other regions of the world, labor represents somewhere in the neighborhood of between 45% and 55% of the cost of a facility. You've got the engineering and fabrication of very specialized metallurgy vessels and so forth. And those costs are going to be largely euro denominated or maybe euro and yen denominated for a lot of that stuff, particularly the really high cost technical pieces of it. And so while you can build a plant in other certain regions of the world for a bit less, our view is it's pretty tough to build integrated ammonia urea complex for less than about $1.8 billion to $2 billion. It's tough to do that even if you've got really, really cheap labor involved to do it. And so there are going to be places, Nigeria, Iran that are plentiful in gas where labor's cheap and there's some benefits to building those things that may get built. But, again, if you look at the projects that have been announced that are verifiable, where there's actual work being done, it's well below what the industry growth rate is, after you include this year. So, we feel optimistic at least about the next sort of four, five years.
Andrew Wong - RBC Dominion Securities, Inc.: Okay, great. Thanks for that.
Operator: Thank you. And our next question comes from the line of Vincent Andrews from Morgan Stanley. Your line is now open.
Neil Chandan Sanyal - Morgan Stanley & Co. LLC: Hi, good morning. This is Neil calling in for Vincent. It seems that UAN prices have been holding up better than urea prices recently on a nutrient ton basis. I'm just wondering how do you see that relative price dynamic evolving through the year.
Bert A. Frost - CF Industries Holdings, Inc.: They are holding up and we see that. And I think it goes to Tony's comment of because we're a broad-based company with assets and storage assets, production assets throughout the Corn Belt, we're able to see we think very positive price realizations at our interior plants. And I do think, because UAN is consumed in just a few places and also produced in just a few places, it's not as easy to move around as urea. So we believe that UAN on a relative basis will hold up well throughout this year. There will be a correction for pricing come the fill period and that'll be probably later in the year. We think that because of the late planting this year and late field work, you're going to see UAN applications going well into July. And similar to last year, where we launched our fill program in late July, you're probably going to see something similar to that timeframe for 2017.
Neil Chandan Sanyal - Morgan Stanley & Co. LLC: Great. Thanks.
Operator: Thank you. And our next question comes from Ben Isaacson from Scotiabank. Your line is open.
Oliver Rowe - Scotia Capital, Inc.: This is Oliver Rowe in for Ben. Thanks for taking the question. The near-term excess capacity story is pretty well understood. I think less certain is how long the shakeout period is going to last. And when I look at your capacity addition slide, there is a small deficiency beginning in sort of 2018, 2019, but a lot of excess capacity in the years preceding that. So in terms of the S&D balance, it seems like it could be stressed for quite some time as the prior additions are absorbed. So how confident are you in your view that 2018 is the year of recovery versus say 2019?
W. Anthony Will - CF Industries Holdings, Inc.: I mean, I don't think that what you're going to see is a gigantic bounce in 2018, right. I think what you're going to see is it starts to come up off the kind of lower levels and then it's going to continue to accelerate as you get into 2019 and 2020, but we fully expect 2018 to be a better year than 2017. So, anytime you're kind of moving the right way up the curve, that's a good story.
Dennis P. Kelleher - CF Industries Holdings, Inc.: Yeah, I think the other thing I'd point out is, if you look at our slide 14 and then also what we've got in terms of the closures, we've been pretty conservative, given what we know about or believe we know about the cost structures of some of these plants. We've been pretty conservative in respect to what we think the closures are likely to be. It's possible that there could be a greater level of disinvestment and higher number of closures, particularly in China, than what we have forecast in. So I think it's worth taking a look at sort of that part of the slide deck because I think that what – if you're going to see a steeper inflection point, it's going to be because closures happen more quickly and in a higher volume that what we're showing on our projection.
W. Anthony Will - CF Industries Holdings, Inc.: The other thing is, even though you're absolutely right, Neil, that there's a fair bit of excess capacity that come online in sort of 2014, 2015, 2016, 2017, it's not that it's easy to idle or take a plant down and just let it sit there and then be in a position to bring it back up. In the past, we've included some slides that indicate the challenges with having a plant that's off for more than about 18 months, ever bringing it back up again. So the benefit of sort of a fairly long period here between kind of 2016, 2017, and maybe in the beginning of 2018, that's painful as a lot of those plants go down and they're never heard from again. And so while there is some overcapacity above and beyond that's been built, that sloppiness tends to filter itself out through the system.
Oliver Rowe - Scotia Capital, Inc.: Thank you.
Operator: Thank you. Our next question comes from the line of Michael Piken from Cleveland Research. Your line is now open.
Michael Leith Piken - Cleveland Research Co. LLC: Yeah, hi. I just wanted to get your thoughts on how you're going to approach the summer fill season. It seems like last year, the buyers were a lot more cautious. I mean how do you sort of think about setting the price, given that there is more capacity out there this year and then a new competitor up and running in the Midwest or even price it to get a historical movement of product, or even try to be more price sensitive even if that means slower pace of dealer participation?
Bert A. Frost - CF Industries Holdings, Inc.: Well, if you were to ask that question last year and see that how it unfolded last year, I think it would have been – it was just different. And so, normally, we used to take a pretty healthy book on in June and ship against that book July through December. And last year, that just did not happen. And we expected it, we planned for it and we utilized the various options that were available to the company, which were alternating between products, urea, ammonia, and UAN, exporting significant amount where we could and did, as well as utilizing our storage capacity and moving product to different markets in the United States through our Jones Act vessel that we brought online last year. Customers were unwilling then to take positions. It was more of unsure what the forward market would like and not wanting to take a risk position that they felt was averse. I think that's the exact same scenario we have coming into this year with new capacity coming online also. And as Tony mentioned in his comments, we have to wait for the new trade flows to materialize and for product to sell out, and customers as well as suppliers to kind of get their sea legs and we believe that's going to take time. We are patient and we're in conversation with our customers now in preparation for that period. And we believe we'll be able to move through it fairly well.
W. Anthony Will - CF Industries Holdings, Inc.: Michael, one other thing I'd add to it is, and Bert alluded to this, but I just want to emphasize it a little bit more, which is the degree of the flexibility we have from a production standpoint at Donaldsonville. We can effectively decide to granulate the entirety of the new urea plant. And if the demand isn't there or the nutrient ton value isn't there, turn off the acid plant for a period of time if we want to. And we are bringing on a DEF unit this summer in Donaldsonville as well. And so, one of the things that Bert and his team constantly are doing is the trade between what's the value per nutrient ton and different options we have from a production standpoint, and instead of blowing our brains out on a low fill price, we may decide to granulate a lot more where there is many more homes for it on a global basis. And so, really, there's a lot of different arrows in our quiver based on product flexibility and export optionality. And Bert and his team are going to look at that and figure out a way to maximize our results, whatever that may look like.
Operator: Thank you. And our next comes from the line of Sandy Klugman from Vertical Research Partners. Your line is now open.
Sandy H. Klugman - Vertical Research Partners LLC: Thank you. Good morning. So, it sounds like the expectation is that wet weather will shift demand to urea and UAN, but you also invested heavily in your ammonia terminal system in the 2010 through 2014 timeframe. So, you can meet ammonia demand in a very efficient manner. And I am wondering if we'll see less of a switch than we might have historically and how we should think about when the window for direct applications in ammonia closes for the majority of the Corn Belt?
W. Anthony Will - CF Industries Holdings, Inc.: Sandy, it's kind of fun. I am going to let Bert answer the back half of that question about timing and when it shifts and so forth. We have a little bit of a love hate relationship with ammonia, I'd say. On the one hand, we've got a very unique asset system that nobody else can replicate. On the other hand, you know that our adjusted gross margin per nutrient ton on ammonia tends to be relatively cheap compared to the other upgraded products. And so, we've got a unique capability of serving a particular need and yet we don't get paid quite as much for it as when the ammonia season is a bit of a wash out and people have to go heavy up on the upgraded products, because we make a lot more when that happens. So, as I said, it's a little bit of a love hate relationship with ammonia, but, Bert, do you want to -
Bert A. Frost - CF Industries Holdings, Inc.: Yeah, when I look at the ammonia season, it's a six month process, so January through June. And as we mentioned in our opening comments, we had a very good first quarter. The Southwest Southern and Southwest part of the United States where the wheat and early corn applications were taking place, we did very, very well and had almost double our normal shipments coming out of our Oklahoma plants. And as we move through, like I said, it's kind of the I-90 North, and in the Canada, it's still to go and we have our terminals ready to go, a lot of that product is sold, and we do have some product to sell and we think that'll go, whether it's through the side-dress and still some pre-plant application. So we're not giving up on ammonia, but I do think possibly on an aggregate basis for the sector, fall and spring coupled together probably will be lower than historical numbers. So, let's say, it's 200,000 tons to 300,000 tons and that's just – I'm just putting that as an example, that means you're going to need that much more by factor of two to three of UAN or urea. So either side of that coin, we're positive and we're prepared for it. And we do expect, like I said earlier to you, yes, that doesn't take place on ammonia, you're going to see a significant amount of demand shifting to UAN and urea that on the margin probably will – then move prices up higher.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Thank you. That's very helpful.
Operator: Ladies and gentlemen, that is all the time we have for questions for today. I would like to turn the call back to Martin Jarosick for closing remarks.
Martin A. Jarosick - CF Industries Holdings, Inc.: Thanks, everyone, for joining us today. If you have follow-up questions, please feel free to contact me.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may now disconnect. Everyone, have a good day.